Operator: Hi, good morning, everyone and welcome to Noah's Fourth Quarter and Yearend Conference Call. I'm Melo Xi, Director of Investor Relations in Noah Group. The Presenter today -- joining us today are Ms. Jingbo Wang, our Co-Founder, Chairlady and CEO and Mr. Qing Pan, our CFO. Before we start, we would like to kindly remind you that during today's call, we may make four looking statements based on our current expectation of the business. Please keep in mind that these statements are subject to risk and uncertainties that may cause Noah's actual results to differ from these statements. We do not undertake any duty to update these statements. For discussion of some of the risks that could affect results, please see the safe harbor statement section of our 6-K filing. We also refer to certain non-GAAP measures and you'll find reconciliations in our 6-K report made available on the Financial Report section of Noah's Investor Relation website. Also, please know that nothing on this call constitutes an offer to sell or a solicitation of an offer to purchase an interest in any Noah or Noah affiliated products. This call is copyrighted material of Noah and may not be duplicated without consent. Also, we will appreciate for you to change your display name to first and last name, plus your institution name. With that, I would like to welcome our Chairlady and CEO; Ms Wang Jingbo.
Jingbo Wang: For the agenda of today’s conference call, I’d like to start by discussing the macroeconomic landscape, an update on our globalization strategy. Then report on Noah’s overall performance and development of various business segments in 2022. Mr. Pan, will then present financial information for the year and conclude with the Q&A session. Year 2022 was an extraordinary year with an extremely complex global macroeconomic environment. The extreme market gyrations caused by the Russian and Ukraine conflict during the first quarter, Shanghai-like lockdown during the second and the rapid Fed rate hikes spanning almost the entire year has by far exceeded our expectations. In other words, we have seen the most drastic drop in investor confidence in decades. Domestically, the Chinese lockdown index reached its highest level twice since the first outbreak of COVID-19 in 2020. Frequent lockdowns severely restricted economic activities with the household savings rate reaching its highest levels since the beginning of the outbreak and consumer confidence hitting rock bottom. Turning to the global market. Since the subprime financial crisis in 2008, prolonged quantitative easing and abundant liquidities have led to a significant level of global asset inflation. With global supply chains severely disrupted over the past three years by the raging pandemic coupled with the impact of surging commodity prices due to geopolitical conflicts, we have seen the most acute global inflation in decades. In order to contain inflation, the world’s major central banks led by the US Federal Reserve moved quickly to raise interest rate at the fastest pace in almost 40 years. The sudden quantitative tightening measures and escalating risk rate of return led to huge losses in risk assets with the both equity and bond markets experiencing their worst year since 2008. The significant shift in investor sentiment led to a decrease in preference for high-yield products and an increase in demand for assets with lower volatilities and higher liquidities. As a wealth and asset management firm focusing on serving global Chinese high net worth clients, Noah’s mission is to understand and gain insight into the ever-changing needs of our clients. In the CRO report published at the beginning of 2022, based on our assessment of the macroeconomic and capital market environment, we propose our clients to adopt a protection before growth as allocation strategy, advising them to protect and diversify their portfolios using various wealth management tools against the upcoming uncertainties. We recommend our clients to increase their allocations in absolute return-oriented multi-strategy funds and private-equity funds in order to reduce asset volatility and capture cross cycle growth opportunities, which effectively helped our clients to protect their wealth in turbulent capital market environment. We have become increasingly aware that the concept and understanding of wealth management through the lens of Chinese high net worth individuals undergoing fundamental changes with safety and security becoming the number one demand. The need for global asset allocation also increased. Since the opening of the Hong Kong office in 2012 and gradually establishments in foreign markets including the US, Singapore, Canada and Australia, Noah International has accumulated a decade of experience and capabilities in the Overseas segment. In the past, we serve our overseas Chinese clients with our overseas staff, which mainly consisted of investment product selection, operation and middle and back-office professionals. In 2022, we further reshaped Noah’s international capabilities by building an international wealth management team basically overseas market, creating new overseas products in order to better serve the asset allocation needs of Chinese high net worth individuals living abroad on top of the capabilities and system, we have already built in the past. By the end of 2022, Noah’s international clients increased 8.4% year-over-year. The Overseas segment generated net revenues of RMB828 million for the year, accounting for 26.7% of the Group’s revenue, an increase from 23.5% in 2021, with this figure further increasing to 32.2% in the fourth quarter. In 2022, the company delivered solid financial performance by proactively adjusting our business strategy, achieving annual net revenues of RMB3.1 billion and non-GAAP net income of RMB1 billion, meeting that annual non-GAAP earnings guidance. Operating income margin improved to 35.1% from 27.9%, driven by more efficient cost management and less travel activities due to COVID locked outs. Wealth Management segment reported annual net revenues of RMB2.2 billion, down 31.1% year-over-year, primarily due to clients leaning towards -- leaning more towards products with higher liquidity, such as money market funds and fixed income -- fixed-term deposits, leading to a decline in one-time commissions. Transaction value was RMB70.3 billion for the year, down 27.7% year-over-year. In 2022 with significant volatilities in the global public markets with the MSCI World Index down 17.8%, the S&P 500 Index down 18.7% and the MSCI China Index, down 21.2%, Noah strategy was to capture and maintain clients’ wallet share that help clients preserve their wealth instead of trying to chase higher revenues and profits due pushing products with higher risk profiles. Mutual fund transaction value increased by 16% year-over-year, driven by the launch of our Smile Treasury platform, specifically targeting corporate and institutional clients’ treasury management needs. In the past, corporate treasury management from mid and small enterprises lack specialized and systematic services. Capitalizing on Noah’s exiting mutual fund platform and asset allocation capabilities, we have offered services to more than 4,500 mid to small-sized corporate and institutional clients who opened accounts and transacted through Smile Treasury platform during the year. In terms of clients, the number of diamond and black card clients reached 9,689, an increase of 18.2% year-over-year, with 22.2% increase in black card clients in particular. Growing our core client base has always been a key strategic objective. Over the past year, we have effectively enhanced our client experience by improving our client interface and branding, improving our clients reward system and enhancing the integrity of our clients’ asset allocation through the introduction of a Star rating system. Furthermore, we recovered over 1,000 loss or dormant accounts and after the Camsing incident in 2019, many lost clients have started to turn back to us. In 2022, through better client segmentation strategies and personalized asset allocation advices, we recognize over 3,000 potential diamond and black card clients during the year. Through referrals of our existing clients, we gained over 1,000 new clients that became Gold level or above. Winning clients to us through care and professionalism has always been the source of Noah’s success. Asset Management segment recorded net revenues of RMB835 million, down 19.9% year-over-year, primarily due to a 66% decline in performance-based income caused by capital market volatility and limit actually opportunities in the private. Through our subsidiary, Gopher Asset Management, AUM reached RMB157.1 billion by the end of 2022, up 0.7% year-over-year. On the other hand, the overseas AUM reached RMB32.5 billion, up 14.7% year-over-year, thanks to the successful fund raisings of Gopher’s actively managed overseas real estate and private equity funds, as well as the launch of our US dollar cash management and fixed income products. The US real estate investment team focusing on multifamily residential development investments have achieved excellent investment performances on the first two series of funds and a separate account with two successful profitable exits. They launched Series 3 fundraising in the second half 2022. The Silicon Valley early staged tax focusing investment team has achieved multiple profitable exits for LPs through investing in a number of unicorn companies. They launched their Series 4 fundraising during the second half of 2022 as well. We believe that the current economic cycle, which is close to bottoming out provides a very rare entry opportunity for VC and PE funds. As a result, we have also launched a VC fund-of-funds managed by our Silicon Valley team as well in Q4 2022, aiming to further enhance Gopher’s ecosystem in the overseas market. In terms of cash management and fixed income products, as US dollar yields continue to rise due to the Fed’s rate hike, our product team developed and launched our US dollar cash management and fixed income products in a timely manner, effectively increasing our clients share of overseas wallets with Noah. By year-end, overseas AUA grew by 25.2% year-on-year, accounting for 21.6% of the total AUA comparing to 16.3% at the end of 2021. In terms of the ESG, Noah has been voluntarily publishing sustainability report since 2014. We also formulated and initiated the supply chain ESG management guidelines and received 100% of the signatories of the ESG letter of acknowledgment for suppliers and Noah’s very first supplier conference, bringing awareness to our supplier partners to better create a sustainable ecosystem. Noah has cooperated with non-profit organizations for many years in projects such as 100 million square trees in Noah’s Ark. Since 2014, Noah’s task force has planted over 387,000 square trees in region in China, covering over 8,000 acres of land, achieving about 3.8 square kilometres of sand stabilization and 7,000 tons of carbon stabilization, helping restore the local desert system and slow down densification, while increasing local farmer’s income. I’m also pleased to announce the company has successfully completed the conversions through primary listing status on the Hong Kong Stock Exchange on December 23, 2022, becoming the first Chinese wealth management company to have dual primary listing status in both the US and Hong Kong. Also completely eliminating the potential delisting risk of ADR stocks at our Board meeting earlier this month, the Board has approved an annual dividend plan to pay out 17.5% of non-GAAP net income of RMB1 billion for 2022. The final dividend proposal will be evaluated at the upcoming AGM in mid-June. We’re committed to creating value for our shareholders in a stable and sustainable manner through a long-term cash dividend plan. Reaching common sense and consensus, which are scarce quality to possess is often time-consuming and costly. In 2022, some common sense and consensus are beginning to ignite. Successful wealth management and investment returns are the reflection of correct perceptions of the future. Bridging the gap between perception and reality requires the fine-tuning of decision-making skills. The probability of making the right decision is positively correlated with one’s understanding of the world. Today, in 2023, the consensus of client’s need has been mostly clear. The foundation of this top process framework is what shapes Noah’s CIO house view, our devices on clients’ allocation solutions and our core values, which distinguish Noah from other wealth management institutions. We are committed to becoming a leading name by capturing at least 1% of the market share in the wealth management sector industry for Chinese high net worth clients around the world. A goal that has tremendous room for growth, but also requires us to always maintain our founding principle and work hard towards achieving it. Finally, we hope that the pain of 2022 will become the gain of 2023. Now, I’d like to pass to our CFO, Mr. Pan to give you a detail walk through of this year’s results. Thank you all.
Qing Pan: Thanks, Mel, and thank you, Chairlady. Welcome investors, analysts. Looking back at 2022, obviously, undoubtedly a challenging year. The United States Federal Reserve has raised interest rates by cumulative 425 bps to 4.4% as of the end of last year, the rapidest hike in decades.  Coupled with geopolitical conflicts and ongoing increasing global inflation rate from 4.7% to 8.8%, creating volatilities in both the equity and bond markets. Consequently, the MSCI World Index, S&P 500 and MSCI China Index have all dropped 18%, 19% and 21% throughout the year, respectively. In China, the prolonged COVID-19 restrictions during almost the entire year of 2022 greatly affected economic activities. With the China effective lockdown index, a third-party index that measures the level of COVID-related restrictions reaching highest level twice since 2020. The Chinese household savings rate declined significantly from 30% pre-COVID up to 37% by end of that year, while the Chinese consumer confidence index hit a decade low. Capital market activity and investors’ sentiments also became more conservative, evidenced by a 50% year-over-year increase in new issuance of mutual funds across the board. Meanwhile, Noah has been investing to improve our research capabilities to counter this adversity and our CIO office published investment outlook for 2022, at the beginning of last year, recommending the strategy of preservation before growth to our clients. Looking back at the capital market fluctuations, our recommendation helped preserve clients’ assets and our dedication and efforts on enhancing investment abilities paid off. As a result, although 2022 was a tough year, while still achieved increase in number of core clients, up 18% year-over-year. That’s diamond and black card clients and Overseas AUM also increased by 15% year-over-year. Due to stricter cost management measures and higher operational efficiency, Noah’s operating margin grew from 27.9% to 35.1%. On top of that we have met our annual non-GAAP net income profit guidance absorbing the impact of an unexpected and unfavorable outcome of legal proceedings towards the end of last year. Now, please let me walk you through the detailed financial results of the year and the fourth quarter. Full-year net revenues were RMB3.1 billion, down 28% year-over-year, primarily due to the decrease in one-time commissions and performance-based income. One-time commissions fell by 46% year-over-year to RMB678 million. Due to lower transaction values, the change in product mix, partially as a result of our proactive direction away from public securities based products in the face of volatile market conditions last year, that usually bear high take rates, but that have a product. Performance-based income fell by 61% year-over-year to RMB308 million, as expected in the face of the bumpy capital market environment. Recurring service fees remained relatively stable at RMB1.9 billion, down 9%. Operating costs and expenses were RMB2 billion, decreased 35% year-over-year, due to lower relationship manager compensation expenses as transaction values decreased combined with lower selling and G&A expenses resulting from a decrease in travelling and offline client activities, both affected by COVID-19 restrictions. Correspondingly, annual operating income margin increased 7.2% year-over-year to 35.1%. With regard to non-operating results, we incurred a one-off contingent expense of RMB99 million due to the provision of legal proceeding related to one of our subsidiaries that would disclose on December 12, 2022. We believe that the associated first instance ruling was reached based on incomplete factor information and have already initiated a clean appealing process and to vigorously defend against the civil claims from the plaintiff. Equity in earnings of affiliates decreased 71% year-over-year, attributed to the downward yield by the funds that we manage and invest in as the general partner or fund manager. In spite of non-operating costs, our non-GAAP net income of RMB1 billion still achieved annual non-GAAP net income profit guidance with margin up to 32.5%. Growth in core clients, diamond and black card clients still remains as a top strategic priority throughout the year, benefiting from our continuous strategic investments, expanding our core client group, diamond and black car clients grew to 9,689, an 18% year-over-year increase overall. Among which, the number of black card clients increased by 22% year-over-year. We also have an innovative program to recognize potential diamond and black card clients and grant trial benefits invest for a limited period of time to attract new clients, which enabled us to identify over 3,000 high potential core client leads. Our total active clients during the year was 35,877, down 16% year-over-year, due to the transformation through standardized products, starting from 2019, we have also been making efforts on reactivating dormant accounts and retrieving lost accounts. As of December 2022, reactivated and retrieved accounts amounted to more than 1,000. At the same time, we have gained significant growth in a new tier of clients, i.e., corporate and institutional clients. We launched the Smile Treasury platform to facilitate corporate and institutional client’s treasury management efforts with over 4,500 new corporate and institutional clients. We have opened accounts and transacted with us in 2022. With respect to transaction value, we distributed RMB70.3 billion of products during the year, down 28% year-over-year, among which, mutual funds were RMB43.1 billion, up 16% year-over-year, thanks to the aforementioned increase in corporate and institutional clients. Private secondary products were RMB13.1 billion, down 65% year-over-year, as we proactively decreased allocation of distribution of equity-linked public products, due to heightened market volatility. In terms of the segmented results, full year net revenues from Wealth Management business were RMB2.2 billion, down 31% due to the decrease in transaction value, accounting for 71% of total net revenues of the Group. Net revenues from asset management business were RMB834 million, down 20% due to a decrease in performance-based income from private equity fund products, accounting for 27% of total net revenues of the Group. Gopher’s AUM was RMB157.1 billion as of the end of the year, slightly higher than last year due to an increase in private equity . As mentioned by Chairlady, we have started to establish our international wealth management team with relationship managers based in overseas markets catering to our oversee class asset allocation needs. Our overseas AUM grew 15% year-over-year and 7% quarter-over-quarter contributed by the successful fundraising activities of Gopher’s real-estate investment team and capital investment team in the States. And the launch of US dollar cash management and fixed income products. Besides, we have also been cooperating with nine of the top 25 international private-equity GPs and look forward to spending that list. Overall, full-year Overseas net revenue was RMB828 million, accounting for 27% of total net revenue compared to 24% in the year before. When it comes to our fourth quarter results, net revenues were RMB882 million, down 30% year-over-year and recovered quickly by 29% from the quarter three. One-time commissions were RMB269 million, down 44% year-over-year, but up 178% quarter-over-quarter due to increase in insurance distribution. Recurring service fees were RMB472 million, down 15% year-over-year, but slightly increased to 4% quarter-over-quarter, mainly due to the service fees generated from liquidity in certain credit products with higher fee rates during the corresponding period in last year. Performance-based income was RMB80 million, down 54% year-over-year due to decrease in carry from public security products and private-equity fund products. It was up 191% quarter-over quarter due to exits of January from some of the private-equity funds products in this quarter. Total operating costs and expenses were RMB662 million, down 41% year-over-year, but up 46% quarter-over-quarter, mainly due to increased expenses related to offline client activity after COVID-19 restrictions were lifted, as well as increased registered manager compensations, performance fee compensations in the quarter. On top of that operating income were RMB220 million, up 66% year-over-year, but down 5% quarter-over-quarter. Quarterly non-GAAP net income was RMB149 million, down 49% year-over-year but 22% quarter-over-quarter increase due to one-time contingent expenses. Regarding the balance sheet, our cash increased to RMB4.4 billion and total assets stood at RMB11.8 billion, as of December 2022. The current ratio was 3.3 multiple and debt-to-asset ratio was 19.5%, with no interest-bearing debt, implying a very healthy and strong liquidity position and balance sheet. Supported by a healthy balance sheet and continued strong cash flow generating capabilities, pursuant to the dividend policy announced on August 10, 2022, the annual dividends to be declared and distributed for year 2020 will be 17.5% of the  Group’s non-GAAP net income of 2022. Approximately, amounting to RMB176.5 million, implicating USD0.40 per ADS and HKD6.25 per share, equals to USD2.80 subject to final approval of our AGM on June 12, 2023 this year. We look forward to providing stable and sustainable returns to shareholders with the growth of our business. Looking back to 2022, obviously great challenges stemmed from global macroeconomic uncertainties and domestic difficulties, including zero carbon limitations. But we’re glad that we completed the secondary listing on the Main Board of Hong Kong Stock Exchange and within the same year with the effort of the team also completed voluntary conversion to primary listing in Hong Kong within the same year. Due to the regulations of Hong Kong Stock Exchange by the way, we’d also like to kindly inform investors that Noah will not be able to publish our new non-GAAP net income profit guidance going forward. Looking forward to 2023, we’ll continue to invest talent and resources into expanding our global footprint and improving our client service experience and quality. At the same time, we’ll also be mindful of both cost controls and growth initiatives. Again, we sincerely appreciate all shareholders for ongoing trust and support and strive to create long-term value for clients and shareholders. And thank you, everyone for listening and I will now open the floor for questions. Thank you.
Melo Xi: Thank you, Grant. So, if you have a question, please kindly press the raise hand button in Zoom and now I believe we have Helen from UBS. So, moderator could you please turn on her microphone. Thank you.
Helen Zhou: Okay, let me translate my question. This is Helen from UBS. Two questions if I may. One, for insurance product distribution since the fourth quarter 2021, the growth momentum was very strong. Insurance products since it’s the key driver for one-time commission fee. It’s been five quarters since the fourth quarter of 2021, so what’s the insurance product penetration rate for existing clients? Do you think that strong growth momentum could persist this year and next year? If not, what type of progress this might breach that revenue gap? And could you please give us more color on transaction value outlook this year both in terms of growth outlook and product mix? And my second question is on Gopher AUM. I noticed that, back to 2015 to 2016 private-equity products were a major driver for transaction value and this product may enter the redemption period very soon I guess, so what’s the impact on Gopher AUM? Will Gopher AUM decline in the next one to two years? And was Gopher’s product strategy this year and in the coming two to three years? Thank you.
Qing Pan: Thank you, Helen. I’ll supplement some data points and also do a quick summary for which our Chairlady has mentioned. So I guess, we do look at this allocation of product mix from a slightly different angle that basically we don’t necessarily just voluntarily put out a product mix or recommendation to our clients without understanding the clients’ need. So, throughout 2022, the sentiment of the entire market is actually preservation and risk averse. So, the demand from insurance products actually grew across the board in the market. We are not manufacturing any insurance products. So basically, just having insurance brokerage and are responsible for picking the right products for our clients. So, as mentioned by Chairlady, the coverage of penetration rate, especially in the diamond black card clients was relatively low. 21% for overseas insurance products and 24% for the domestic one. And the contribution to the total revenue by interest-related revenue for 2022 was 77%, slightly higher than 60% in 2021 as well. So, we still believe that still abundant room to grow in terms of insurance products if the clients still considers that insurance products becoming a very fundamentally and important layer of the asset allocation strategy. In terms of Gopher’s AUM, domestically, we believe that our fund-of-funds portfolio will benefit greatly from the registration team in Asia spot market that provide more exciting opportunities for these portfolio companies to become IPO companies and provide better exiting routes for this type of funds. And in terms of the secondary market, public security products within Gopher, we actually also invest heavily into the R&D team, we have a team about 40 people and focus on the macro and also mindful researchers on different kind of stocks and strategies for multiple strategies to the fund. And for overseas, we are investing heavily both in budget and talent actually for 2023 to make sure that they will meet the demand for our clients, especially for overseas allocation of more products for public market type of products that in the past the market probably provides a lot of volumes. But we weren’t able to provide too much on the US dollar-denominated public markets and we’re assembling a team to focus on that selection and believe that we will be able to provide more on that type of products for our clients. Helen, back to you.
Helen Zhou: Thank you. Crystal clear.
Qing Pan: Thank you.
Melo Xi: Thank you, Helen. I believe we have Chia Yao from Morgan Stanley, also raised his hand. Operator, please. Hello, Chia Yao.
Unidentified Participant: Let me translate the first question is the market volatility we’ve seen in the fourth quarter 2022 and in both equity and fixed income markets. So, I was wondering how does the reaction from Noah’s clients in the fourth quarter and what reaction Noah has been taking to stabilize the AUM in fourth quarter last year? And second question is on the outlook for 2023 and in terms of the client demand and the revenue opportunity for Noah. Thank you.
Qing Pan: So, thanks Chia Yao. I think those are great questions. And also we want to stress that the strategy in terms of recommending our clients to preserve first then pursue growth opportunities didn’t start in quarter four last year. Actually, we published the CRO report in the first quarter when we sensed very highly volatile market of the entire year. So actually, a majority of the allocations, which is mentioned in the market actually and also consistently our client’s strategy are highly liquid products, including money market funds, including the US dollar-denominated deposit type of funds towards the end of last year when the Fed actually raised the interest rate very quickly. In terms of overseas, we have about over USD1.1 billion AUM for clients to put their money in the actual deposit type of products. And we’re seeing actually a very good increase in the fourth quarter alone, that’s about USD1.6 billion raised in that single quarter and in the face of very complex market situation, Noah actually never pushed any product that we don’t even believe in. So, we still try to recommend the more conservative and safe strategy for our clients to actually place out. We’re actually seeing a huge influx of repatriating funds last year. As mentioned in the press release, we seen probably around 1,000 clients either reactivate long-time dormant accounts or repatriated back to Noah from other platforms. I believe that clients are very impressed with Noah’s strategy that we actually didn’t have any exposure AUM or AUA to real estate type of products to the non-standard credit products and we have a very clean and light AUM for our clients. In 2023, we continue to hold a very conservative view especially for our clients. But probably will more emphasize the provision of supply of oversea assets for our clients to carry out a global allocation strategy and we’re putting a lot of effort of budget actually in developing our oversee businesses. We believe that the opening up of new tier, or new corporate clients overseas, the high net worth Chinese individuals overseas, will actually provide very strong growth, driving practice behind the incremental revenue in 2023 if you well. Thank you, Chia Yao.
Unidentified Participant: Thank you, management. That’s very clear.
Qing Pan: Thanks.
Melo Xi: Thank you, Chia Yao. We also have Peter from JPMorgan. Operator, please turn on Peter’s microphone. Thanks.
Peter Zhang: Let me translate. Noah’s rapid sales and Gopher’s AUM -- AUM in fourth quarter. How does Noah differentiate from leading banks in China when it comes to strategy and product? In 2023 there is talk of release of exits saving China, how do you think Noah will benefit from this trend if any? The second question is do you expect mostly over risk from SVB and CS right down? And 2023 is going to be volatile. So, how does Noah position for this? Does Noah offer investment products like issuance to your clients? Thank you.
Qing Pan: Thanks, Peter. Great questions again. Yeah, we actually don’t have, didn’t have any AT1 or CoCo bond related products. I guess part of the reason is because we’re still relatively small in terms of providing USD and offshore products or clients. Likewise mentioned, in the past that we focus pretty much product maintenance capabilities in oversee offices. In the US we have two investment teams. In Hong Kong, pretty much made back office for the US dollar asset management. And in 2023, you can probably look at years zero for our oversee piece of business and plan to actually really increase the number of relation managers in Hong Kong to probably 100 compared to what we have is about 20 professionals. And Singapore team is from zero basically, from scratch to 20 and where in the process actively hiring talents in those two places. And looking at opportunities potentially to be able to actually access the local market to serve the Chinese nationals in those nations, including in the US and probably other positive destinations where Chinese immigrants are conventionally will go and work. In terms of wealth management, for the past eight months focused pretty much on US dollar products and also spend quite bit of time in the investment and establish global insurance platform and we’re moving on to the primary market and secondary market product, both denominated in the USD. And just to supplement on the numbers, when you mentioned that the growth in the fourth quarter, I think still benefit greatly from products that we have in the Silicon Valley. We raised about more than USD1 billion in the fourth quarter alone that actually fit the clients’ need for more exposure to a deeper and probably more stronger market in terms of oversee products. And the focus for 2023 is to expand the interfaces where we can reach out to our clients in different ways, including for example, institutional clients that was grouped, the online platform and also including direct sales or direct distribution from Gopher Manager, especially the screening of the global products and to be able to actually put them into a portfolio for our clients. And in terms of domestic development strategy, we focus on continued to heighten investment in both branding, talent, in large cities, first tier cities. But in terms of the -- probably third tier cities we used to have network and branch office. We are looking at consolidating these offices into the nearby top cities. One is to obviously control the cost efficiency and two is actually to ensure that we’ll provide better quality service to our clients as you would probably understand that majority of the high net worth individuals will probably gradually move to the nearby big cities for better life quality. So, we also wanted to make sure that our service team is also there to be able to serve our clients. Peter, back to you.
Peter Zhang: Maybe I will add one more question about the investment sentiment. So, in 2023 do you see improvement in investment sentiment in your client’s end. How does this compare to the 2022 or 2021 level?
Qing Pan: So, Peter, I think just to supplement, obviously the fourth quarter we were benefited quite a bit of I guess heightened interaction with clients. We actually held a pretty big client conference in Singapore towards end of December, actually before the official open up of China market last year, about 300 clients flew over to Singapore and also we held very large conference last week in Hong Kong and about 600 clients came over and joined our conferences and we’re providing views from different GPs, our own GP and also economists just to share the outlook of the capital market for clients. So, we’re able to actually interact I guess at a better quality and better interaction frequency with a client. And in terms of sentiment, we actually published a whitepaper with PwC for 2022 high net worth individual sentiment index. This first year we’re doing this whitepaper and I think it’s actually a great way for us to understand what people are thinking, especially the very unique group high net worth individuals in China, mostly actually are private business owners and entrepreneurs. It seems that obviously, after the reopening up, alleviated quite a bit, but I think the overall sentiment towards investments in wealth management as eloquent will continue to be conservative. It was R&D type of products. But we think that they probably were looking -- continue to look to further diversify their asset allocation across the board. Also, in the product mix. Peter?
Peter Zhang: Thank you, very clear.
Melo Xi: Thank you, Peter. We have no more -- we have no further questions from the audience. So with that, we would like to conclude this quarter and year-end earnings call. For our most updated financial reports, please refer to the financial statements section within our Investor Relations website. So, thank you all for listening.
Qing Pan: Thank you very much.
Melo Xi: Thank you.
Qing Pan: Bye.